Operator: Good day, and welcome to the B&G Foods’ First Quarter 2019 Earnings Call. Today's call is being recorded. You can access detailed financial information on the quarter in the Company's earnings release issued today, which is available in the Investor Relations section of bgfoods.com. Before the Company begins its formal remarks, I need to remind everyone that part of the discussion today includes Forward-Looking Statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer you to the Company's most recent Annual Report on Form 10-K and subsequent SEC filings for a more detailed discussion of the risks that could impact the Company's future operating results and financial condition. The Company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The Company will be making references on today's call to non-GAAP financial measures adjusted EBITDA, adjusted net income, adjusted diluted earnings per share, and base business net sales. Reconciliations of these financial measures to most directly comparable GAAP financial measures are provided in today's earnings release. Bruce Wacha, the Company's Chief Financial Officer, will begin the call with opening and then discuss the Company's financial results for the quarter, as well as its guidance for 2019. After that, Ken Romanzi, the Company's President and Chief Executive Officer, will discuss various factors that affected the Company's results, selected businesses highlights and his thoughts concerning the outlook of the remainder of 2018 and beyond. I would now like to turn our conference over to Bruce.
Bruce Wacha: Good afternoon. Thank you for joining us today for our first quarter 2019 earnings call. During the quarter we generated $412.7 million in net sales, $75.8 million in adjusted EBITDA and $0.44 per share in adjusted diluted earnings per share. Adjusted EBITDA as a percentage of net sales was 18.4% for the quarter. The $19 million decrease in net sales was primarily attributable to our divestiture of private brand during the third quarter of 2018. Private brand had generated net sales of $21 million in the first quarter of 2018. The negative impact on net sales from the private brands divestiture, was partially offset by an incremental $3.3 million of net sales from McCann, which was acquired during the third quarter of 2018 and therefore not part of our results during the first quarter of 2018. Base business net sales, which exclude the impact of M&A in discontinued brands was $409.5 million, essentially flat for the first quarter 2019, compared to $409.3 million in the prior year quarter. Our base business new sales benefited from $7.3 million in net pricing, which included the impact of our spring 2018 list price increase as well as improved trade spend utilization. We expect to start seeing additional pricing benefits from our 2019 price increase in the second quarter, as well as the third and fourth quarters. Base business volumes were down by $7.1 million in the first quarter, largely driven by a drag from the negative elasticity effects of price increase. Our base business net sales also have small negative impact from the shift of Easter to late April and from a limited voluntary recalls of certain Victoria products. Green Giant has been a wonderful net sales growth engine for the past couple of years for B&G Foods, helping to drive growth in net sales quarter-after-quarter. First quarter 2019 was no different, with net sales of all Green Giant products in the aggregate, including the core increasing by $6.9 million or 5.4% versus the year ago quarter. The growth in net sales was driven by a second consecutive quarter of growth for both the frozen and our shelf stable Green Giant products. The rest of our portfolio has series of pluses and minuses with regard to net sales for the first quarter of 2019 compared to the first quarter of 2018. For example, net sales of New York Style, increased by $1.3 million to 16.4%.Maple Grove Farms increased by $0.9 million or 5.5%. Net sales of the Company's spices and seasonings business is increased by nearly 1% or $0.7 million for the quarter. Net sales of Back To Nature decreased by $3.3 million as we are cycling loss distribution of certain non-core items. Victoria decreased by $1.4 million or 11.2% due in part to the recall. Cream of Wheat decreased by $1 million or 5.5% as a result of warmer winters. Ortega decreased $5.6 million or 1.6% and net sales of all other brands decreased by $3.3 million or 4.1% for the first quarter 2019. We generated $75.8 million in adjusted EBITDA for the quarter, which is down $13.6 million from the year ago quarter and slightly short of our guidance range. The primary driver for the decrease in adjusted EBITDA was the divestiture of Pirate Brands, which accounted for approximately $8 million of loss EBITDA for the quarter inclusive of overhead under absorption. We remain comfortable with our full-year estimate of a negative adjusted EBITDA impact of $21 million from the divestiture of Pirate Brands, but the negative impact was approximately $1 million greater for first quarter than we had anticipated. We also estimate that the Victoria recall negatively impacted adjusted by EBITDA by approximately $1 million for the quarter. Another factor affecting comparability includes the first quarter of 2018 benefit of approximately $2 million from the Mexican peso currency gain. We saw a net cost increase in our products during the first quarter of approximately $7 million inclusive of procurement, mix freight and warehousing, a portion of which is due to the timing of when certain costs and cost savings flow for our P&L. We expect to see these benefits to begin to show in our second quarter results and the remainder of the year. Our pricing strategy, inclusive of the wraparound benefit of the spring 2018 price increase and improved trade spend utilization benefit adjusted EBITDA by $7.3 million, which helped to offset the costs and increase. This benefit was partially offset by a decrease in base business volumes of $7.1 million resulting in loss profits of approximately $2.7 million largely driven by price elasticity. While we continue to see inflationary pressures in our input costs and our freight expense, the increases have been more manageable this year and we are actively addressing them. After a strong first quarter pricing with nearly $7.5 million of benefit, we expect to continue to see pricing benefits throughout the year. Earlier this year, we communicated another round of price increases to our customers and we should begin to see the benefit of those price increases during the second quarter. We therefore remain confident in our ability to achieve our full-year target of $15 million to $20 million in pricing, consistent with our previous guidance. Our cost savings initiative, which Ken will address in more detail in a few minutes are also on track and we expect to see these benefits accelerate throughout the year as they begin to impact our P&L. On freight, for example, as a result of the realignment of our dry and frozen distribution centers, we are already seeing favorable costs in our P&L from our customer delivery costs versus the prior year. Some of the freight benefit, however was muted as our inbound freight and our transfer costs, which are also coming down year-over-year due to our efficiency efforts in back our P&L on a roughly one quarter lag, and so we will realize these benefits beginning in the second and third quarters of the year. Our G&A rationalization has also been implemented, however, due to the timing of the restructuring, we only saw the benefits for a little less than one month of the quarter. As a result of these efforts, we are also confident that our cost cutting will deliver the full-year $15 million to $20 million in cost savings benefit. We generated $0.44 in adjusted diluted earnings per share in the first quarter of 2019 compared to $0.55 per share in the first quarter of 2018 with the decline largely driven by lower adjusted EBITDA in the quarter as we just discussed, offset impart by reductions in net interest expense of approximately $5.2 million for the quarter, due to reducing our long-term debt by approximately $460 million over the past year. Under our prior stock purchase authorization, we repurchased and retired from March 15, 2018 through March 15, 2019 approximately 1.4 million shares of common stock at an average price per share, excluding fees and commissions of 26.41 or $36.9 million in the aggregate. This includes 407,000 shares of common stock at an average price per shares, using fees and commissions of $24.55 or $10 million in the aggregate during the first quarter of 2019. In March 2019, our Board of Directors authorized an extension of the stock repurchase program through March 15, 2020. In extending the repurchase program the Board also reset the repurchase authority up to $50 million. Our balance sheet remains strong with just $1.6 billion in net debt at the end of the first quarter of 2019, compared to $2 billion in net debt at the end of the first quarter of 2018. We also continue to manage our inventory more effectively. We've further reduced our inventory $375.4 million at the end of the first quarter of 2019, compared to $401.4 million at the end of the fourth quarter of 2018, and $455.4 million at the end of the first quarter of 2018. We generated more than $50 million in net cash provided by operating activities in the first quarter 2019 and we spent a little bit more than $8.5 million in capital expenditures during the quarter, more than ample to support our current business to better position us to pursue our growth through acquisition strategy. Based on the midpoint of our 2019 financial guidance, that I will outline in a moment, we expect to be approximately 5.2 net debt to pro forma adjusted EBITDA at the end of the year. Now as we mentioned a little while ago on our earnings release, we are reaffirming our full-year 2019 guidance. As a reminder, our 2018 results included a little bit more than three quarters of Pirate Brands net sales of $74.9 million. For 2019, we expect net sales to be in a range of $1.635 billion to $1.665 billion or in line with our 0.2% long-term top line growth model. We expect adjusted EBITDA $305 million to $320 million. Adjusted earnings per share of $1.85 to $2. Net interest expense of $87.5 million to $91.5 million, including cash interest expense up $84 million to $88 million and interest amortization expense of $3.5 million. Depreciation expense of approximately $40 million, amortization expense of approximately $18 million and effective tax rate of approximately 25% to 25.5%. Cash taxes, excluding the tax effects from the gain-on-sale of Pirate Brands to be approximately $5 million or less for the year. And finally, we anticipate CapEx to be approximately $45 million $50 million for 2019, which is in line with last year. Based on the midpoint of our adjusted EBITDA our guidance range, we expect that our adjusted EBITDA plus CapEx, Cash taxes, including tax effects from the gain-on-sale of Pirate and cash interest will be approximately $175 million to $180 million. The Pirate Brands divestiture resulted in a pretax gain-on-sale of $176.4 million during the fourth quarter of 2018. A large majority of the tax payments resulting from net gain-on-sale will be made during the second quarter of 2019. Finally from a quarterly modeling perspective, I remind folks that the second and third quarters of this year will have a similar drag from the divestiture of Pirate Brands of about $6 million to $7 million of adjusted EBITDA per quarter and a limited impact during the fourth quarter, given that we own business for about a month during that period. We expect input costs to remained elevated as inflation certainly appears to be here to stay, but we also expect to see more benefits from our pricing initiatives throughout the remainder of the year, with a small benefit in the back half of the second quarter and a more full benefit in the third and fourth quarters. These benefits will be coupled with continued activity on the cost cutting front. And now, I will turn the call over to Ken. Ken?
Kenneth Romanzi: Thank you Bruce. And thanks for all of you for joining us on the call today with special thanks to the dedicated team of B&G Foods for work so hard in the challenging operating environment to generate these results. I'm pleased that our first quarter net sales were on the higher side of our expectations and while we had some discrete timing events negatively impacting our adjusted EBITDA. We are on track to meet our full-year financial plan. While historically we have grown through acquisitions the OpEx of selling a business sometime less favorable on the P&L. However, as we have previously stated, the sale of Pirate Brands has left us in much better positions to continue to grow through acquisitions, a strategy that has worked so well for our Company and our shareholders over the years. As I stated in our February call, our 2019 plan is rooted and sales grow consistent with our stated long-term objective of 0% to 2% growth of broader and more reliable pricing strategy and the ramp up of our multi-year cost savings program. Our first quarter results show traction in all three of these pillars of our 2019 plan. So today I would like to share key highlights from the first quarter. First and foremost, our new executive leadership team is fully in place, totally aligned and committed to our Company strategy and is working extremely well together. It’s a strong complimentary combination of fresh blood and long-term B&G veterans. Also I'm very pleased to report after more than two years of effort we successfully went live with our new Oracle, JD Edwards, Enterprise Resource Planning System just last weekend and I'm pleased to report that we are fulfilling customer orders and shipping through the system with minimal disruption. We are very much looking forward to taking advantage of the many benefits of the system, which is expected to streamline operations, drive efficiencies to our finance and accounting processes and improve our operational planning and financial forecasting. Our first quarter base business net sales were basically flat for last year, which was encouraging, given Easter shifted later into April this year. Consumption across the entire B&G Food’s portfolio grew 1% for the quarter and that included a ton of 1.7% in March due to the Easter timing shift. January through February consumption grew a solid 2.7% versus year ago. Our sales performance as Bruce mentioned was again led by our largest brand Green Giant. It’s a testament to our team’s effort that we are reporting the second consecutive quarter of net sales growth for both frozen and shelf stable Green Giant. Shelf Stable is now benefiting from new distribution growth after a challenging periods of the category that coincides with our purchase of Green Giant. Green Giant Frozen continues its strong momentum behind our vision of making Green Giant the plant based vegetable food brand in the future, fueled by continued success of our new product introductions. Our vision is to not only introduce new vegetable products in the traditional frozen vegetable category, but to help people get more vegetables in their diet by introducing new products made with vegetables. We are very encouraged by the successful launch in the latest generation of innovation, such as Green Giant Cauliflower Pizza Crust, Green Giant Protein Balls and Little Greens Sprouts Organics. And we are very much looking forward to announcing our next wave of Green Giant frozen innovation later this year, as we continue to facilitate America's healthy eating habits. Now, Walmart every brand in our portfolios position for the same innovation led growth that we are driving with Green Giant. We believe there are many exciting things that we can do to drive growth across the portfolio. We are excited about our snacking businesses, namely New York style bagel chips and Back To Nature. New York style showed stronger growth in the quarter with net sales up almost 16.5% driven by unique merchandising in the deli perimeter of the grocery store. While versatile right sizing the product portfolio distribution of back to nature, we are enthusiastic about its potential for geographic expansion. Consumption in Bank to Natures core product categories of better for you cookies, crackers, granola and nuts remain solid in both the specialty food channel and several mainstream supermarket retailers. And now that our product line is clean up of non-core products, our plan is to expand this brand to a greater array of customers. We are also excited about the potential of Victoria pasta sauce. Despite a soft Q1 due to the product recall, the brand has performed well over the past two years and we are enthusiastic about the prospects to Victoria, as we look to take this leader in premium specialty pasta sauce national to build upon its successful position in the northeast United States and throughout the club channel nationally. Our most recent acquisition the McCanns is performing as expected and although it's on the smaller side for us, it is exactly what we strive for when considering potential acquisitions. McCann's margins are strong, and it has proven additive to our cash flows and we believe this little brand has the potential to be a bigger part of our portfolio overtime. It holds a leadership position in the Premium Oatmeal Category segments. And we are excited about the potential to drive new distribution growth as we fill in this still sizable distribution gas. And we are going to take this on trend better view brand national overtime. As Bruce mentioned, we realized nearly $7.5 million in improved pricing during the quarter through my last year's actions, and we successfully sold into our customers a new round of pricing that is beginning to be implemented during the second quarter. As a reminder, this pricing action is based on more list pricing rather than trade promotion efficiencies, on more brands, and in more geography than we took last year. As a result, we believe we are on track to deliver the $15 million to $20 million in pricing we plan for 2019. Our cost savings initiatives, it also starting to deliver benefits in Q1. We implemented our G&A restructuring program and the new leader team is intently focused on delivering our 2019 plan. Additionally, we continue to work we began in 2018 to realign our dry and frozen distribution network. These efforts are paying off today and helping us to better manage transportation costs in an inflationary environment. During Q1 as our news dry warehouse configuration was completely in place. We reduced our total freight miles during the quarter by approximately 20% below last year's levels, helping to offset higher transportation rates. We also continue to ship more freight to contract versus higher stock rates and going forward, we will begin to see the added benefits of reconfiguring our frozen distribution network, which will take place throughout the second quarter. Further, our procurement group has finished contract negotiations for the year and we secured better pricing than we originally forecasted for raw materials. While input cost is still elevated versus last year, our procurement team is doing a great job lessening the impact. And lastly we are on track, implementing the product and package rate reductions we discussed in February to secure our savings budget, mainly rightsizing several of our Green Giant frozen products. But all in, we are on track to deliver our 2019 plan of $15million to $20 million in cost savings through our procurement, logistics, manufacturing, packaging and SG&A spend, which we expect we will continue to deliver of $20 million to $25 million of savings in 2020. In summary, we remain confident in our 2019 guidance that relies on 0% to 2% top line growth, while maintaining flat adjusted EBITDA margins of approximately 18.5%, despite being in an inflationary input cost environment. Our guidance assumes successful implementation of our price increase as well as our costs productivity initiatives both of which are on track through the completion of the first quarter. Beyond that, we remain committed and ready to add to our business through accretive acquisitions, that is what to built this great Company and that strategy will continue to fuel our growth in the future. In addition, we will also look to opportunistically repurchase shares of our common stock from time-to-time as another means in addition to our quarterly dividend to return cash to our shareholders. This concludes our remarks today and I would like to begin the Q&A portion of our call. Operator.
Operator: Thank you. [Operator Instructions]. Today our first question is coming from Cornell Burnette with Citi Research. Please go ahead.
Cornell Burnette: Great. Good evening guys.
Kenneth Romanzi: Hey, Cornell. How are you?
Cornell Burnette: Pretty good. Pretty good. My first question is really just centered around the full-year guidance, so you missed first quarter by $2 million or $3 million in EBITDA from the bottom of your range and EPS is also lower than the bottom of your range. So I just want to know, why do you keep before your guidance to same? I know you talked about Victoria having a recall, but what may be some residual issues from that and perhaps as you go forward in the year?
Bruce Wacha: No, we don't think so. We think the impact should be modest, but calling out working impact was in the quarter was about $1 million that was not factored into our plan. And then the other part, when you think about just missing at the bottom of the range is, the divestiture of Pirate. So, still the impact of about $21 million in terms of the loss in EBITDA for the full-year, but just from a timing standpoint about $8 million impacted us in the first quarter. So it’s really are two main issues, where we get a lot of confidence as we truly are seeing as Ken mentioned. A lot of the cost savings initiatives that we are working on, the ability and the desire to lower those big costs, we are truly seeing them but we are seeing some of the benefit in our P&L is quarter and we will continue to see the remainder throughout the rest of the year.
Cornell Burnette: And then I mean I guess it's important, so looking at EPS being down pretty substantially in the quarter, I think if it gets to the bottom end of your range would imply something line 9% EPS growth over the remaining three quarters. So thinking a lot has to change on the margin side, I think maybe what you could do for us which would be helpful is, if you just put some numbers around, A, how many cost savings came through in the quarter and then going on forward kind of what is the residual that's left over the remaining three quarters? I would suspect that it has to be a pretty big number and that you didn't get much in this quarter kind of given the way margins play out.
Bruce Wacha: Yes when you really think about it from a timing standpoint, we did benefit on the delivery portion of our freight cost, but not the inbound freight, because that will come through when we sell the products. And as far as the G&A restructuring that we took really, really about a month of that benefit. So that moves throughout the rest of the year. Additionally as we said, we did get a nice benefit from pricing in the first quarter, but a significant amount of that pricing activity will follow through in the remainder of the year as we are implementing another round for price increases.
Cornell Burnette: And that is another thing that was on my mind. So it’s about $7 million to $7.5 million of pricing that you got in the quarter, yet I think the guidance hasn’t changed for the full-year like pricing of $15 million to $20 million, if that hopes through then would you say that you have got $8 million to $30 million of pricing over the remaining three quarters which is kind of what you got in Q1 despite the fact that you have got more pricing coming in some time in Q2 and I think you are going to be - the intention is to be a little bit more efficient on the trade spending. So just wanted to know kind of how that lays out and if ultimately this is upside on the pricing numbers given the way once you have just played out?
Kenneth Romanzi: Yes. As we have stated in the varying call, we counted in our model the prices, the list price increases, what we didn’t count in our models trade beneficences, because that is illusive, they are illusive to get, but we did see in the first quarter some trade spin efficiencies. So as we stated in February, if we can get our trade spin efficiencies on top of the pricing as they may be a little upside, but the first quarter where we were overlapping some very large spends on couple of our brands last year, so we saw that, so it was nice to see. But as we stated, if we can continue to see trade spins efficiencies and get the list price through the way we planned there could be an upside to the price.
Cornell Burnette: Then last question from me would just be if you could partially just talk a little bit maybe about Q2, this was very helpful, last time you gave us guidance on Q1 just assuming that some of the pricing that you are seeing really doesn’t come into later in 2Q. Is it going to be another - how does the margins stack up in Q2, is it going to be a kind of a similar story as to Q1 given that some of the pricing is later in the quarter?
Bruce Wacha: Probably. And then also as you build your model that would make sure you keep in mind that there will be some negative drag from Pirates which is baked into our full-year guidance.
Cornell Burnette: Okay. I will pass it along. Thank you.
Operator: And our next question is coming from William Reuter with Bank of America. Please go ahead sir.
Unidentified Analyst: Hi guys this is Mike on for Bill just some questions here. First can you talk about if the price increases have affected your share of shelves and if retailers are shifting more towards private label product and second can you confirm your leverage target and if you guys have made any changes to your capital allocation strategy. Thanks.
Kenneth Romanzi: Okay. I will take the first question and I think if I heard you correctly, because it was little bit low. You are asking if the price increase cause us to lose any share of shelf? And anything any bigger shift to private label? We haven’t experienced any of that, there is many retailers who are focused on private label, our price increases hasn’t shown a net acceleration or deceleration about it all. So quite frankly we are pretty encourage by the elasticity that we saw for the brands last year and which gave us some confidence to come back again this year and we have taken pricing in quite some time, we adjusted our pricing increase this year versus last year and take took a little bit more on brand that proves to be fairly in elastic and took a little bit less on brands that were elastic. So we think we are smarter for this pricing action than we were last year, but said it’s been so long since we had taken pricing and had data to read in market. So this new round is fresh off of last year's experience.
Bruce Wacha: And then the second half of your question, no change from our stated leverage targets, which is 4.5 to 5.5 times net-debt to EBITDA. As far as change in capital allocation strategy, no we remain committed to the dividend. We also are focused on returning cash to shareholders through our share buyback program, which is as you noted, we recently got reauthorization forum, we have been actively buying shares. And then finally from an M&A standpoint, as Ken said, we have built this Company through M&A and we continue to view that as an opportunity to create value for shareholders.
Unidentified Analyst: Great. Thanks so much guys.
Operator: [Operator instructions] Our next question comes from Karru Martin with Jeffries. Please go ahead.
Karru Martin: Good afternoon. How your competitors reacted to the pricing that you took here through the first quarter and the follow-up pricings?
Kenneth Romanzi: We have so many different competitors, right, because we think categories we are in, we haven't seen any drastic reaction. Many people are increasing pricing. In some cases, we are seeing elevated pricing, particularly in the canned vegetable business that is seeing some improved pricing, but we really haven't seen any outsized changes or oversized reactions to our price increases.
Karru Martin: And the traction that you are getting in Green Giant on the can side as well as the frozen, it seems sort of a reversal from what we had been seeing for quite some time. Has that market changed, or is it just that we bottomed out? Or is there some sort of new realism in there in terms of what the pricing will be and it's not a race to the bottom?
Bruce Wacha: Well, I think there's two things, there are two separate businesses almost in the same brand, but the frozen segment has been very different than the canned segment. The frozen segment has truly been reawakened by B&G’s efforts to reawaken the Green Giant. And that's all been driven by added value innovation. So innovation is what is driving the frozen Green Giant business as well as many of the competitors now who have followed us with innovation in that area. Many of them fairly closed copies of our products. So innovation is really driving the growth in the frozen vegetable category. On the can side, our own experience that you might be referring to is we lost distribution in a major retailer. So that was a big drag on our canned business for quite some time. But in the fourth quarter of last year, we overlapped that loss distribution and the business turnaround, because outside of that one retailer, we were actually up in consumption. And now on top of our consumption still being fairly good, the positive on the shelf stable side, we have gained some distribution in other retailers. So the new distribution is what is helping our can business plus being more competitive every day at the shelf and this distribution we are in. So it's really a tailor to city, same brand name, two different sections in the store and two different dynamics in those sub segments of the vegetable category.
Karru Martin: And just lastly, given that success that you've had a Green Giant frozen, do you view it as a platform for acquisitions or where do you see adding businesses to further the growth of the Company?
Bruce Wacha: Well, acquisitions are - you know we always got our - we are always open to accretive acquisitions that we can buy with a disciplined purchasing approach that B&G takes. But on the frozen side and particularly frozen vegetables in Green Giant, we have an internal pipeline that we see for quite some time that we are very excited about. So, the internal pipeline is very robust to maintain Green Giant. However, if there are other kind of vegetable forward businesses out there, that we think we can buy in a disciplined manner to add to our business and perhaps the Green Giant name on that package might either be better applied we will absolutely look at that. So, frozen businesses in general, we look to places where there would be synergies, but really it didn’t have to be a vegetables business that we can make to capture manufacturing synergies. If there is something that bids our vegetables forward approach, we will certainly be interested in that to bring into Green Giant family.
Karru Martin: Thank you very much guys. I appreciate it.
Kenneth Romanzi: Thanks Karru.
Operator: And our next question will come from with Bryan Hunt with Wells Fargo Securities. Please go ahead sir.
Bryan Hunt: Thank you. Continuing on the M&A discussion, the current leverage on the balance sheet exceeds kind of your range of 4.5 to 5.5. So if you were to make an acquisition, how far above that range are you willing to take the balance sheet in terms of leverage and for how long?
Kenneth Romanzi: I think it very much depends on the acquisition, we haven’t typically gone over six times leverage, if you go back in history, but like I said earlier on the call, estimated net debt to EBITDA based on the middle of our guidance is $3.5 million of EBITDA, $320 million gets us to 5.2 times net debt to EBITDA. So, in that range, would we go higher, we would consider it and we would have to really like the transaction to do so.
Bryan Hunt: Great. Next, when you look at other challenges in the business in terms of the switch to Click & Collect and or Amazon type of retail, how are you positioned to in your opinion capture the Click & Collect and or the online retail? Or some CPGs are going direct with their own brands to consumers. Do you see an opportunity to capture one of those three opportunities and kind of where do you stand?
Kenneth Romanzi: We are racing quickly to get e-commerce ready. The place we are starting are the top two food retailers in Walmart and Kroger in particular. I mean they are very large and we do a lot of business with them and other supermarket retailers. So, we are making sure that we are e-commerce-ready to do business, because we believe that going through our retailers is going to be a much more effective and efficient ways than for us to go by ourselves and as we get more e-commerce ready for our retailers, we do a lot of business on, we believe we can then transfer that learning to Amazon. We do a very little business through Amazon now and a little bit in our supermarket customers, but as their business grows to online, we will absolutely be ready to grow with them.
Bryan Hunt: Got you. That was it for me. My other question has been answered. Thank you for your time.
Kenneth Romanzi: Thank you.
Bruce Wacha: Best of luck.
Operator: And our next question is coming from Ken Zaslow with Bank of Montreal. Please go ahead.
Kenneth Zaslow: Hey good afternoon everyone. Just a couple of clarity questions. One is should we talk about the price elasticity, where you have seen the greatest price elasticity and where you have seen the least amount of price elasticity across your portfolio?
Kenneth Romanzi: That could be a very long answer. We have 50 brands. There is lot of price elasticity in more price sensitive brands and it’s not just brands, it’s product segment. So for instance let’s take Ortega, there is a lot of price elasticity in taco shelves, but not a lot of price elasticity in taco sauce. So we might take a little bit more on taco sauce and a little bit less on taco shelves and we got to make sure that we are still at good promotional price points on taco shelves and that seems like a business where people kind of stock up on promotion. Accent for instance may haven’t seen any price elasticity and we have actually crossed over some key price points like $3 for a unit of our smaller size. So that is a business that we are going to lean into, because we haven’t seen much. I mean the Accent defines the category, flavor answers and so note that is a business where we have seen very little less elasticity and a little bit more. Green Giant cans, canned vegetable highly elastic. Customers want to promote that at key holidays for two for a $1 and if you are not there in two for a $1 you are probably not going to get the front page ad support, you are not going to get secondary display. So the customer actually decides your elasticity even before the consumer gets a chance to decide whether they want to pay $0.10 or $0.20 more a can. it’s really how our customers want to feature and we want still maintain the key features of our customers from key holiday periods. For non-holiday periods, we think we can be a little bit more forward on pricing, because it’s not like we are looking for front pages ads and big displays and that we can have the base price load upon shelf, which wouldn’t affect volume all that much. We are not talking about the highest volume time of the year anyway, but you can raise price on shelf a little bit, but come back and make sure you are very competitive at the key promotional timeframe. So it is a full range and we have adjusted our pricing both base shelf pricing as well as promotional pricing accordingly depending on the brand and the product promotion group.
Kenneth Zaslow: Is there a way for you to think about more pricing in certain of categories than you have kind of realized, like Accent would be one, will you be able to do that and are there other categories that have more price elasticity you would think that you may need to do something with innovation to curtail the price elasticity?
Kenneth Romanzi: Right and that is what we have done. I mean pricing is separate from innovation, obviously we are going to innovate where it make sense, we have a list of brands that we have prioritized for innovation mainly because of size of brands, if you line extend the small brand you are going to have a small business, you of line extend a larger brand you are going to have a larger new products. But pricing we have adjusted based on different elasticity we have experienced in the different products and package and promotional group and then of course separate from pricing innovation is clearly a lever that we will be pulling and certainly we will apply to some of our other brands.
Kenneth Zaslow: Okay. My last question is when is the last time you have taken a local brand and gone national, and what experience do you have to be able to do that with Victoria, because I like the idea of this. And I think I have seen it with other companies. I think it was New England Clam Chowder have done it. I mean, there is examples over the last 15, 20 years that I have seen, and could actually be a real homerun, but what is your experience and how comfortable are you and how quickly will we see change on that?
Kenneth Romanzi: I think we would have to go back in our history, but I believe New York Style Bagel Chips, is probably a good example of our brand that is expanded distribution over time. I don't know the numbers off the top my head in terms of where it started and where it is today but that's up. Interestingly about Victoria, it already kind of is National, it’s actually North American wide, because we have home distribution in the club channel both in U.S. and Canada.  We also have full distribution of mass merchandisers. We are talking about building out geographic supermarket distribution. And we are gaining distribution every day, but there's still there's a fair amount of white space and we may not get to 100%, but every 5% points worth of distribution growth is nice sales growth.
Kenneth Zaslow: How much this 5% to 10% in it. Did you say?
Kenneth Romanzi: I'm sorry?
Kenneth Zaslow: How much did you say that 500,000 basis points of incremental distribution add to your top line.
Kenneth Romanzi: I didn't say a number. I don't know the number off the top my head, but certainly any distribution road would certainly add to a profitable sales growth.
Kenneth Zaslow: And then I guess, are there other brands that you can do that with.
Kenneth Romanzi: There's several brands that we think of expansion capabilities. Victoria is one, McCann certainly is one, and Back To Nature is another one that again has strong presence in the specialty food channel nationally, it has strong presence in region retailer and a semi national retailer. But beyond that it doesn't have a lot of mainstream supermarket presence. So we are going to be looking to expand the presence and that's less of an example of a regional brand and more that just has more customer penetration opportunities. Is it already kind of expands the country it just doesn't expand in all retailers?
Kenneth Zaslow: Great. Thank you very much.
Operator: And our next question comes from Carla Casella with JP Morgan. Please go ahead.
Carla Casella: Hi. You have been proactive in the past, refinancing your debt and then - your thoughts are actually starts thinking about the 2021 bond maturing now is recallable.
Kenneth Romanzi: We are watching the market, but obviously we have a fair amount of time and we like the coupon that we have right now. So expect us to continue to watch and potentially be opportunistic when it’s done.
Carla Casella: Okay, great. And then Brian, just a little bit of industry trends. I'm wondering if there any specific changes or trends in slotting trends in the industry just given the changes. So we've seen in players on both the wholesale and retail side and your thoughts there on slotting for last year versus going forward?
Bruce Wacha: Well, the slotting still exists. it’s still a cost of doing business, yet we do use see more and more retailers willing to take that and putting in promotional support and not just pay an entry into the shelf. And there are a handful of customers that don't take it at all. And that's the ones we prioritize in terms of rolling early innovation, particularly on the frozen Green Giant front. So there is a handful of customers that will again launch innovation, will launch early 2020 innovation in the fourth quarter this year, because without a slotting investment, we can afford to launch product late in the year and how it would be a positive to our P&L rather than negative to our P&L.
Carla Casella: Okay, great. Thank you.
Bruce Wacha: Thank you.
Operator: And our next question is comes from Eric Larson with Buckingham Research Group. Please go ahead.
Eric Larson: Good afternoon, everyone. My first question is when I look at your adjusted gross margins for the quarter, I think the comparison adjusted year-over-year was like 24.5 this quarter versus 27.7 a year ago. How much of that decline was kind of a mechanical calculation for Pirates being divested and what would be the other major difference in that first quarter drop in gross profit margin?
Bruce Wacha: We don't have those lists in front of me, but you're right, there is a mechanical portion of that and like said, we are still selling product under the cost structure from the fourth quarter as we continue benefit organizationally from some of our cost cutting initiatives. The benefit to those will continue to rollout throughout the remainder of the year along with the benefit from pricing, and so it’s a little bit of both.
Eric Larson: Okay. And then, I noticed in your SG&A expenses and this is may be what I thought might be a partial explanation for your gross margin decline, partially obviously the mechanical issues with Pirates, but your consumer marketing was down fairly sharply in the quarter, down $2.3 million. So, did you see a shift in how you spent your money in the quarter? Did you have a higher degree of promotional spend on a relative basis that may be calling for the decline in consumer marketing spend?
Bruce Wacha: We tightened up marketing spend quite frankly to keep our powder dry for the rest of the year. I do have a new head of all of our marketing and he wanted to go through and feel through every budget. So, we held in a lot of areas to be able to reapply for the rest of the year and apply under a new direction of a new leader. So, something that I applauded when he took over the rains and it certainly helped a little bit, but that is not really the way we want to make our long-term numbers. We want to be driving the business, but this is right now more of a shift than anything else.
Eric Larson: Okay. And just a final question. I think we were scratching head a little bit on your elasticity issue 7.3 million increase of pricing, but you know elasticity offsets 7.1 million. The question I have is, every quarter some of your product lines have seasonality to them, where you will have a higher percentage like canned, that was the big fourth quarter item and you need to promote heavily in the fourth quarter. Was there a product line that has may be a Q1 cadence to it, where you may not have been as competitive on promotion, that's why your elasticity was so high in the quarter or is it a timing issue? I guess I'm trying to figure out to how that works.
Bruce Wacha: So that volume in the base business that you are talking about, I mean first of all the big driver of the volume decrease is this, is the divestiture Pirates and so that just comes off right off the start. As far as the base business, keep in mind there is some elasticity in there, but really which really a lot of that volume declines has to deal with the shift in - was a little bit, Victoria was a little bit and then also you have something like climates were warmer season those drove some of that volume drop as well. And so I don’t think you could just simply say pricing up seven, volume down seven therefore $7 million of elasticity.
Eric Larson: Okay alright and I noticed that Back To Nature was particularly weak in the quarter. I think you have fully anniversaried that acquisition I believe you have and that is go look at it myself, so…
Bruce Wacha: Yes. We have.
Eric Larson: Okay so that would have been part of that base business volume loss in the quarter as well correct?
Bruce Wacha: Correct.
Kenneth Romanzi: Yes and quite frankly a lot of that is self I wouldn’t say inflected, self directed because Back To Nature core categories of cookies and crackers and then granola and that is I would say secondary core, but the prior orders got into things like soup and juices and cereals and stuff and really didn’t have any strength or strong hold. And when we took the business over, we identified those as questionable categories to be in as well as our retailers. So we literally are cleaning up and getting out of those categories, which will depress sales and to focus on the core snacking categories. So it was down, but was down for the reasons we understand and self directed and cleaning up the product line and being more focused on the snack part of the business going forward, which is where the brand has shown proven ability overtime is what we are most intrigued with going forward.
Eric Larson: Okay. That is very helpful comments on the Back To Nature business. So will you have sort of negative lack or I guess SKU, I guess as just SKU as - will that be a negative comp in back to nature for the next quarter or two then or how should we view this?
Kenneth Romanzi: It will be a drag over the next couple of quarters, but we started cleaning up and losing distribution in second quarter of last year. So it will continue, but it should elevate over the next couple of quarters and by the fourth quarter we think we are pretty much pretty clean and not material and starting to offset that with growth on remaining pieces of the business.
Eric Larson: Got it. Okay, very helpful. Thank you.
Kenneth Romanzi: Thanks Eric.
Operator: And our next question is coming from Hale Holden with Barclays. Please go ahead.
Hale Holden: Thanks for fitting me in. Ken you mentioned maybe some potential work on the frozen distribution side and I was wondering if that was baked into your full-year guidance or savings or if that would be an addition?
Kenneth Romanzi: It is. It was announced as part of our savings last year, we just didn’t implement it until this quarter, so just like we moved the warehouse on dry and move much close to our customers. we are moving the warehouse actually this is much closer to the supply of products for Mexico and plus closer to customers, so we are going to get benefits on both in-bound freight and on that warehouse and out-bound freight. But that is been taking place in the first part of this year, but it was planned for this year.
Hale Holden: Got it. And then second one is, as a follow-up to some of the M&A discussion. When you think about M&A are you still willing to consider more creative options like reverse more stuff or should we think that there is a feeling of what should I buy?
Kenneth Romanzi: I think unfair for us to comment now on that other than we are actively looking for M&A ideas as we always have in our past and we evaluate each one individually and at the end of the day the math has to work.
Hale Holden: Great. I was one of the drivers, I appreciate it.
Operator: And our final question is coming from John Anderson with William Blair. Please go ahead, sir.
John Henderson: Yes. Hi, thanks for the question. I was wondering if you could talk a little bit about the organizational enhancements that you've made over the past 12 months or so, where are you with respect to kind of people, process, systems the things that can help you steward the business effectively. And also kind of execute the blocking and tackling, like demand and production planning, inventory management, just trying to get a sense for where you think you are in terms of having those pieces together and presumably that would give you also a better kind of overall visibility into the business. Thanks.
Kenneth Romanzi: Okay, well, let's talk about people, systems and process right. So, first off from a people standpoint. We just implemented our new leadership team, I would say new leadership team some people are new, some people that have been around for a long time with new responsibilities and everywhere in between. So that's pretty well set. I would say from a capability standpoint, you mentioned like supply chain, or you indicated supply chain, versus a couple of years ago, a few years ago when the when the Company took over Green Giant, that was a big change for us. And we have now got a whole supply and demand planning organization here that didn't exist 2.5 years ago. And that we didn't just miraculously take down inventory by $100 million last year, it was absolutely driven by a new team of people that were bringing in a very, very solid sales and ops planning process that was allowing basically the demand side of the house together with the supply side of the house and being able to reduce $100 million of inventory, but increased customer service levels. So I would say that our EVP of operations Bill Herbes, did a terrific job hiring best-in-class people to bring a process that never existed at the B&G. So in fact, when I first came here in December of 2017, I saw that process and that team working on Green Giant, and they were doing great job and I asked the leader of that group, how fast can you get though the rest of the business? And after he gloved, he said, well, I probably can do it within the next four or five months. I said, well we need to do this and by mid last year, we had it on every single one of our businesses, which is allowing us to improve our customer service while we are reducing inventory. So the people part, there's still some areas we want to round out. But I wouldn't say there's any big gaping hole. E-commerce is an area we want to beef up, sales and category management is an area we want to beef up, because we do have people that are carrying 51 brands in their bag. And we are going to add to that in the future when we do more M&A. So we are going to want to beef that execution arm up a little bit. But I think the biggest breakthrough just happened last weekend, and it's been two years in coming. We now have a new system and it's not a panacea, but it's certainly is a tool to get much better at planning our business, executing our business, analyzing our business and forecasting our business. And our people are very excited about it. It's been a long time coming, but it clearly gets B&G up to the execution, it’s nothing you need to be by handling a business that's a lot more complicated than it was just a few years ago. We are not only larger, we are more complicated and this system will allow us to manage the business, quite frankly the people that have been here long time, welcome it and people that are here new in last few years, they know how to use this system because they come from best-in-class companies that have had systems very similar. So whether it's a manufacturing person, or a finance person or financial planning and analysis person, they are all very excited about it. The once system we are going to also implement as an add-on to this system over the next year, will be a trade promotional management system. That's one area that we was not done in the initial Oracle JD Edwards area. It is a very large spend and you need a system to better manage it. So we'll be putting in a typical trade management system that exist in many of our peer group companies, I'm sure or things like it to be able to manage that very large spend to get out those trade promotion efficiencies that we believe are there. They are just hard to get out without the system to be able to manage it.
John Henderson: That's very helpful. I appreciate. It makes a lot of sense. One quick follow-up, when you talk about the productivity cost saving program, you know the multi-year program, can you put some guardrails around the duration and the magnitude kind of the cumulative impact that you expect at least from what you have kind of game planed or planned out at this point. I know you said $15 million to $20 million this year. I think an, incremental $20 million to $25 million next year, have you thought beyond that or is it just that too far away at this point? Thanks.
Kenneth Romanzi: No. We originally stated goal of $15 million, and we think that that's kind of over three years, but I do also have a new Executive Vice President of Supply Chain who I have worked with many times before and he has got a much larger list than even I initiated. I learned a lot my operational savvy from him over the years. So, $15 million is kind of our first stop and we are going to be looking to see if we can add to that. It's too early to say now. But we've only just started some of the - I wouldn't say it's low-hanging fruit. We started seeing that are not structural. I mean I would say changing a warehouse somewhat structural, but not that structural. But we have to get much more efficient in plants we run as well as perhaps, re-consider what we are making where and that gets a little bit more structural change and we have to put some more pen and paper on what that might be worth. But we feel good about the initial goal of $50 million and certainly a lot of wind in our sales for this year and next year to offset deflationary costs.
John Henderson: Right. Thanks a lot for all the color. I appreciate it.
Operator: That concludes today's question-and-answer session. Mr. Romanzi, at this time, I will turn the conference back to you for any additional or closing remarks.
Kenneth Romanzi: No big remarks other than thanking everyone for joining us today and I look forward posting you on our second quarter results later on in the year. Thank you.
Operator: And this does concludes today's call. Thank you for your participation. You may now disconnect.